Operator: Greetings. Welcome to CorEnergy’s First Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.  Please note, this conference is being recorded. I will now turn the conference over to your host, Matt Kreps of Investor Relations. You may begin.
Matt Kreps: Thank you. And thank you everyone for joining today’s CorEnergy Infrastructure Trust conference call. With me today are Dave Schulte, CEO; John Grier, COO; and Robert Waldron, CFO. Also joining us is Kristin Leitze, our Chief Accounting Officer. For those of you joining by telephone, yesterday after the market closed, we published a press release announcing the first quarter results and outlook for 2021. We have also published a slide deck to accompany today’s call, which is available online at the Investor Relations section of corenergy.reit. You can also access a webcast replay on the site, typically posted within a couple of hours of the live call’s end.
Dave Schulte: Thanks, Matt. In the first quarter, CorEnergy established a new foundation of critical infrastructure assets on which we can build a significant platform. Our legacy, natural gas transmission and distribution assets and our new Crimson Midstream crude oil pipelines have decades of history, serving diverse credit-worthy customers with regulated service models. Our customers own the commodities being stored or transported on our networks, while our role is to provide reliable delivery of these products. This basic business model is the basis for our qualification as a tax-efficient real estate investment trust. We have a large addressable market opportunity having created a combination of desirable attributes which are new to the industry segment in which we operate. And the fundamental building blocks for our future were created on both sides of our balance sheet. We also established solid coverage of our debt and preferred obligations. We established a baseline of dividend coverage for our common stockholders, and we have a path to growing that dividend to our targeted range from visible commercial activities. The management of both Crimson and our management company, our rolling equity for our ownership stakes where a significant amount of that equity, upon stockholder approval, will be subordinated to our shareholders' common stock, which provides a cushion for the dividend to our common holders. This places the execution risk on the insiders who received shares as consideration in the purchase agreements and who collectively will own a substantial share of our equity. The management teams have decades of history operating our assets and have confidence in our ability to execute our strategy.
Robert Waldron: Thanks, Dave. First quarter of 2021 is the first time Crimson is included in the core financials. However, only two months are included in the results we are reporting today, since February 1st was the effective date of the transaction. As you can see on slide 6, we had adjusted EBITDA of $8.1 million; cash available for distribution of negative $4.3 million; and maintenance CapEx of $1.4 million in Q1. The cash available for distribution includes $6.1 million of onetime transaction expenses. Apart from the effect of the transaction expenses, the cash available for distribution was $1.8 million for the quarter. You might notice we are focusing on two metrics here, adjusted EBITDA and CAD or cash available for distribution. These are non-GAAP measures, and reconciliations of these numbers to net income or loss and cash used for operating activities are provided in the earnings release, the slides accompanying this call and the 10-Q. We believe these figures help assess the operational and cash performance of our business by excluding noncash items that are part of the GAAP accounting metrics we report as part of our quarterly results. We will continue to report the standard REIT measurements, including NAREIT FFO, but these measures subtract non-controlling interests, so we do not highlight them as representative of our operational and cash performance metrics. Adjusted EBITDA as presented is intended to measure -- intended to be a measure of operating performance of our business without regard to financing method or capital structure. CAD is intended to be a measure of cash generate -- the cash-generating ability of our business after servicing our debt and preferred equity. The remaining cash is available for dividends, voluntary debt repayment, stock buybacks, funding of growth CapEx and other needs as deemed appropriate by the Company. When using CAD, it is helpful to take into account special items such as transaction expenses, which are included in our definition of CAD.
Operator:  Our first question is from Selman Akyol with Stifel. Please proceed with your question.
Selman Akyol: Thank you. Good afternoon. So, in terms of thinking about future acquisitions, and you've highlighted Crimson sort of with the cost-of-service models, highly predictable cash flow, should we be thinking that's what you're looking for going forward, or is it much wider than that?
John Grier: This is John Grier. And the short answer to that is we're working on both of those. So, there are regulatory issues that we can do that will be helpful for our Company. And we're -- we've got, I'll say, a number of acquisitions that we're currently looking at, some of which are in our area and are generally accretive to the assets we already own, and some of our -- some of them are in different locations. But, we've got a number of companies and asset groups that we're looking at.
Selman Akyol: Got it. And then, as I look at sort of the 198,000 barrels per day for this quarter, is there any cadence you might be able to break out January, February, March? And then, maybe where -- how things -- April is shaking out, or is it still kind of a decline line? Because I know you also said oil production lags. And the other question, I guess, I would have then is how long does it lag before we sort of see an upturn?
John Grier: That's a good question, and it's a predictive sort of question that I can't fully address. It has -- we get some discussions among people in our Company about future volumes. There are some that were moved into the P66. We think they're coming back. But it's pretty difficult for me to address exactly what I think is going to happen in the future. But, no reason to believe that there's any negative consequence for our Company.
Selman Akyol:
John Grier: Generally, in the summer, but that's -- I'll just say, among management right now, it is under consideration, even as we speak.
Operator: 
Dave Schulte: Operator, if that's all, why don't we thank everyone for joining us today. And as a reminder, if you like to meet with one of us at an upcoming investor conference event or have a direct one-on-one call, you're welcome to contact our IR team. We'll be happy to take care of you. Thanks, everyone. And have a great afternoon.
Operator: Thank you, everyone. This concludes today's conference. And you may disconnect your lines at this time. Thank you for your participation.